Takayuki Morita: This is Takayuki Morita, Senior Executive Vice President and CFO. Thank you very much for joining us today. We are happy to see many of you here with us today. Now, let me present the financial results for Q3 of fiscal year ending March 31st, 2021 that we announced today. I will make the presentation based on the page two index. The first is overview of financial results. Please turn to page four. This is a summary of Q3 financial results. Nine-month revenues decreased by 6% year-on-year, due to the market deterioration. In Q3, revenue return to positive recovery growth supported by solid orders from Q2, despite the impact of market deterioration, same as revenue, nine-month adjusted operating profit grew ¥6.4 billion, including special countermeasures, such as ¥33 billion from asset sales. Q3 adjusted operating profit increased by ¥32.7 billion, even excluding ¥22 billion special countermeasures or on essential basis. With higher adjusted operating profit, adjusted net profit increased both for nine-month and three-month. Please turn to page five, nine-month revenue was ¥2.44 trillion. Adjusted operating profit was ¥97 billion. Adjusted net profit was ¥63.7 billion yen. Free cash flow was minus ¥108.2 billion. We acquired Avaloq and sold assets such as real estate. I would explain those later on in detail. In comparison to our internal plan, nine-month revenue was ¥41 billion lower, but the adjusted operating income was ¥9 billion higher. Page six shows financial results by segment. I will explain each segment later on. Page seven shows quarterly adjusted operating profit and loss status. I would explain each factor in comparison to the previous year. As you can see in the middle of this page, impact of market deterioration has been significantly reduced in Q3. The bar graph shows changes of quarterly adjusted operating profit; Red is the COVID-19 net negative impact; Green is special countermeasures such as asset sales; Blue is an essential basis excluding the first two. Essential basis number turned positive year-on-year in Q3. Page 8 shows quarterly order trends by segment. Total order grew 5% year-on-year in Q3. Nine month order also grew by 3% year-on-year. In Public Infrastructure, GIGA School project contributed. Network Services order increased significantly year-on-year with 5G base stations ramp up. Public solutions and enterprise were most affected by COVID-19. However, order decrease was alleviated in public solutions and enterprise order turned to positive growth year-on-year in Q3. Both segments are showing improvements. Global order appears lower year-on-year in Q3, but this is due to the deconsolidation of display from November. Page 9 and onwards show results by segment. First is Public Solutions Business. Revenue decreased due to decline in healthcare and local industry, as well as, fall in demand for business PC replacement, although, firefighting and disaster prevention areas were solid. Adjusted operating profit decreased due to decline in revenue. Please turn to Page 10. This is Social Infrastructure business. There were different trends in NEC Corporation from a consolidated subsidiary. Revenue grew in NEC Corporation due to increase in IT services for central government and PCs for educational institutes with GIGA school project. But revenue decreased in a consolidated subsidiary, Japan Aviation Electronics or JAE. Adjusted operating profit increased in NEC Corporation due to the higher sales and improvement of unprofitable project, but adjusted operating profit decreased in the consolidated subsidiary JAE. Please turn to Page 11, Enterprise Business. Revenue decreased due to fewer large projects compared to the previous year for retail and services and financial sector and lower demand for business PC replacement as well as restraint of corporate IT investment in manufacturing, retail and service industries. As I said, operating profit decreased due to decline in revenue. Please turn to Page 12, Network Services business. Revenue grew significantly due to the increase in mobile network and fixed wired network in light of 5G introduction. Shipment of 5G base station is showing major increase from Q3. I will explain the status of 5G in detail later. Adjusted operating profit increased due to higher revenue. Please turn to page 13. This is the global business. Revenue decreased due to a decline and deconsolidation of Display in November and the whole resulting from the termination of the part of KMD businesses despite an increase in submarine systems. Adjusted operating profit increased due to improvement of profitability in the service provider, and an increase in revenue in submarine systems despite revenue decline. Page 14 shows nine-month global business status, showing scaling back businesses and continuing businesses separately. As for the scaling back businesses, both revenue and operating profit are affected by lower Display sales and deconsolidation of Display in November. Nine-month total global revenue decreased. But, if you only look at the continuing business's revenue, excluding the scaling back businesses, it's on the rise. As for the operating profit of continuing businesses, you can see the major improvement in comparison to the previous year. This has been the driver, whole total global business. Page 15, this shows free cash flow. Operating cash flow, adjusted operating profit improved ¥6.8 billion and total operating number improved ¥38 billion. But, overall profit deteriorated excluding these special measures, which the increase in tax payment. The spend shows up ¥25.6 billion year-on-year. Cash flow from investing in activities, we completed investment for data centers and we sold and the stocks of have shown upto, here all-in-all ¥31.2 billion, with the sale of the fixed assets including Sagamihara plant, it improved about ¥35 billion yen. These activities resulted in the growth of ¥35 billion, but we had to spend as much as ¥198 billion with the acquisition of Avaloq. All-in-all, the expense grew as much as ¥131.8 billion. All-in-all, free cash flow became ¥108.2 billion.  If we are to an excluding one-time factor of the fixed asset sold and acquisition of Avaloq, free cash flow was almost at the same level of the nine month accumulative number we had last year. Next, I will then explain a financial forecast for fiscal year ending March 31, 2021. Please look at page 17. We have not changed the latest annual forecasting from the numbers we announced on May 12th last year. Please turn to page 18. Here in I’d like to share our latest outlook as for the market deterioration caused by COVID-19. I may go into some more details. As of October 2020, we had assumed that full year operating profit will be minus ¥65 billion. But we had revised this number by looking at the actual impact in the third quarter, as well as the latest outlook for the fourth quarter. So, as of today, our latest assumption shows that revenue being minus ¥140 billion to ¥150 billion, and operating profit being minus ¥50 billion. Back then, when we made our forecast for the first half, we had assumed COVID-19 impact would last a lot longer than we had expected. But recently, our orders are now on the recovering trend. With this now taken into account, as of now, we do believe that we can eliminate the negative impact within the numbers we had assumed in the beginning of the fiscal year has slowed a cost control efforts. We are now further advancing toward the new cost structures with remote working in mind. Cost reduction has been carried out as in planned. Now we have to innovate how the cost increase coming from the network services and public infrastructure businesses. Now we estimate some of the smaller improvements after ¥17 billion for the full year. As for new normal haul demand, we estimate it to be ¥9 billion for the full year. We have already delivered an hour and solution against the COVID-19 infections into Hawaii airport, we are now getting those unexpected opportunities, which were totally unthinkable prior to COVID-19. We do believe that these initiatives will trigger further digitalization activities. Whilst in a corporate and the special measures, we have already now taken into account of ¥33 billion by the third quarter. Whilst these efforts, we should be able to absorb negative impacts, we do plan to advance our growth investments activities as much as possible for future opportunities. We are so happy to be able to report this. Here on the page 19, I would like to explain on the cash management. As of the end of December, liquidity on hand including a commitment line became 2.8 months was of the monthly in revenue. Though, we had expenses for Avaloq acquisition, we continue to make efforts to generate a free cash flow with the third-party allocation in July last year. It improved the 0.5 months year-on-year. In regard to this point, we’ve seen a possible market deterioration we have fully secured needed liquidity on hand. Page 20, Management Topic. First is the completion of Avaloq acquisition as well as state funding for the deal. We have completed the acquisition of Avaloq in December last year, a leading Swiss financial software company and it will contribute to our performance starting from the fourth quarter. Today, NEC announced that it will accept investment from JICT. This investment amount is planned to be about a CHF300 million or a ¥35 billion. This execution is planned to take place after February 2021. With this investment in acceptance as well as asset sales we had this year, it will enable us to complete the transaction within the current cash flow we have. The second management topic is 5G initiatives. Here in Japan 5G initiatives are fully advancing in terms of networking activities. In base station area, NEC has been leading ahead in radio units. We are now fully shipping our central units supporting Open RAN. Besides these base station activities, we now have NTT Docomo and Rakuten Mobile in the 5G core space, which do support standalone methods. We are here now to make further contributions into the advancement of 5G network here in Japan. We are also advancing our activities in overseas. We are making steady efforts here. In the U.K., we established a center of excellence as you may know this in November for new business development. It has been already decided that NEC will participate in the U.K. Government led Open RAN trial project levelizing the center of excellence. NEC has also now been selected as system integrator now for the Open RAN system pilot by Telefónica Germany. Going forward and as well, we will be actively engaged in collaborations with our partners who have those advanced technologies. We will further advance in Open RAN in our market opportunities globally. The third management topic is initiatives for the digitalization of government services. We already are now providing solutions for educational institutes with GIGA school project, as well as managing the governments in common platform. We are now actually making proposals to government on usages of the My Number Card. We intend to enhance our business and by offering the secure cloud platform services. We also intend to build a company wide systems to promote those activities. With the know-how now coming from KMD located in advanced digital country of Denmark, NEC strongly believes that we can make the great contributions into realizing the government's digitalization. That's all for me. I'd like to thank you for your kind attention.